Executives:
 - :
 :
 :
Paul F. Liljegren – Controller, VP Investor Relations:
Analysts: Chris Ceraso – Credit Suisse Tom Albrecht - BBT  Alex Johnson – JP Morgan Jason Seidl – Dahlman Rose Scott Group – Wolfe Trahan 
Operator: Good morning, my name is Louisa and I will be your conference facilitator today. At this time I would like to welcome everyone to the third quarter YRC earnings conference call. All lines have been placed on listen only mute to prevent background noise. After the speakers remarks there will be a question and answer period. If you would like to ask question please press star then the number one on your telephone keypad. If you would like to withdraw your question press the pound key. I will now turn the call over to Paul Liljegren, Corporate Controller and Vice President Investor Relations. 
Paul F. Liljegren – Controller, VP Investor Relations: Good morning and thank you for joining us for the YRC Worldwide third quarter 2010 earnings call. Bill Zollars, Chairman, President and CEO of YRC Worldwide, Mike Smid, President YRC and Chief Operations Officer at YRC Worldwide and Sheila Taylor our CFO will provide comments this morning.  Now for our disclaimers. Statements made by management during this call that are not purely historical facts are forward-looking statements; this includes statements regarding the company’s expectations and intentions on strategies regarding the future. It is important to note that the company’s future results could differ materially from those projected in such forward-looking statements due to a variety of factors.  The format of this call does not allow us to fully discuss all these risk factors. For a full discussion please refer to this morning’s earnings release and our SEC filings including our 10-K and today’s 8-K filing. In addition please see today’s release for reconciliation of our GAAP measures to non-GAAP measures such as our operating loss to adjusted EBITDA as defined in our credit agreement and our adjusted EBITDA to cash flow from operations.  During this call we will refer to the non-GAAP measure of adjusted EBITDA simply as EBITDA. Now I’ll turn the call over to Bill. 
William D. Zollars:
Sheila K. Taylor:
Michael J. Smid:
William D. Zollars:
Operator:  (Operator instructions). You’re first question comes from the line of Edward Wolfe with Wolfe Trahan. You’re line is now open. 
Scott Group – Wolfe Trahan: Morning, guys. It’s Scott Group in for Ed. First can you just give an updated liquidity balance through October? 
Sheila K. Taylor:
Scott Group – Wolfe Trahan: Okay, okay, so that’s helpful. And then I understand that you don’t want to talk much about some of the next steps with the banks but just directionally can you talk about have you figured out how much of the debt needs to go away and if not what’s the timing to figure out that number and then just -- so let’s start there in terms of what’s coming out?
William D. Zollars:
Scott Group – Wolfe Trahan: Okay, so okay, can’t talk about that. Okay, so then next question just when I look at the yields both at national and regional they were pretty flattish sequentially over second quarter. We’ve seen some nice yield improvements from some of the other LTLs, what’s going on where we’re not seeing the yield improvement? Is it that there’s some business that’s coming back to you that’s having some mix issues or is it tough to get the real rates out? 
William D. Zollars:
Scott Group – Wolfe Trahan: And what kind of impact do you think we should see in fourth quarter from the GRI’s and other rate initiatives? 
William D. Zollars:
Scott Group – Wolfe Trahan: Okay thanks for (inaudible). 
William D. Zollars:
Operator: You’re next question comes from the line of Jason Seidl with Dahlman Rose, your line is now open. 
Jason Seidl – Dahlman Rose: Hi, guys. Hey Sheila, well first I just want to just congratulate you guys on being the first carrier to go out there and take and being out cycle GRI and showing leadership in the LTL industry. I think it was much needed for the group. Now, Sheila, as we look out to 2011 I know you mentioned you wouldn’t give specific CapEx guidance but I’m assuming we’re going to have to be materially higher than $20 to $30 million. Can you talk to us about sort the average age of some of your equipment in both your tractors and your trailing fleet to give us an idea of what might need to be spent? 
Sheila K. Taylor:
Jason Seidl – Dahlman Rose: Okay, that’s helpful and Bill you talked a little bit about the contractual rate increases that you were being sued, can you talk to what progression of your contract rate increases this year and how they’ve been improving sort of 3Q over 2Q over 1Q? 
William D. Zollars:
Jason Seidl – Dahlman Rose: Okay, can I get one more in? On Reddaway, Bill, did – just so I get this right, Bill, is a customer adjusting something, did you loose some business at Reddaway, what was going on there? 
William D. Zollars:
Jason Seidl – Dahlman Rose: Okay so it wasn’t you lost an LTL carrier it’s just that they’ve changed their distribution patterns?
William D. Zollars:
Jason Seidl – Dahlman Rose: All right, I appreciate the time as always everyone. Thank you. 
William D. Zollars:
Sheila K. Taylor:
Operator: You’re next line from – you’re next question comes from the line of Tom (inaudible) with JP Morgan. You’re line is now open.
Alex Johnson – JP Morgan: Good morning, it’s actually Alex Johnson in for Tom. 
Sheila K. Taylor:
Alex Johnson – JP Morgan: Good morning, so the first question that – wanted to ask is in terms of the lawsuit that Arkansas Best filed, you gave some good detail there, in terms of you defense of that, are there any expenses that would be associated with defending yourselves on that that we should be aware of? 
William D. Zollars:
Alex Johnson – JP Morgan: Is it the type of thing where you think that that could be resolved pretty quickly, is that the guidance that you’re getting from your legal counsel?
William D. Zollars:
Alex Johnson – JP Morgan: No idea. Okay, and then my follow up question, is in terms of just looking at some of items the working capital items within the quarter looks like payables were a use of cash in the quarter is that consistent with normal seasonality, was there anything that you know reduced the payables and found that to be a use of cash in the quarter and what does that mean for the fourth quarter? 
Sheila K. Taylor:
Alex Johnson – JP Morgan: Okay, and what’s – just one more, what’s within – what’s contained within the other liabilities that was roughly $50 million benefit to cash in the quarter? 
William D. Zollars:
Alex Johnson – JP Morgan: Okay. Great, thank you very much. 
William D. Zollars:
Operator: You’re next question comes from the line of Tom Albrecht with BBT. Your line is now open.
Tom Albrecht - BBT: Hey, good morning everyone, I just wanted to get the latest number of service centers at both national and the regional company’s. 
Sheila K. Taylor:
Tom Albrecht - BBT: Okay. 
William D. Zollars:
Tom Albrecht - BBT: And are you essentially done, I mean I know a network, whether its you or others, there’s a little bit of a dynamic nature to it but I mean in terms of wholesale, plan, shrinkage, are you essentially done at this moment? 
Michael J. Smid:
Tom Albrecht - BBT: Do you have stated goal on desired or amount of properties you hope to sell, I know you gave us a – what you did in the quarter on that?
Sheila K. Taylor:
Tom Albrecht - BBT: Mike, is it fair to think about your network as probably not going below 300 service centers?
Michael J. Smid:
Tom Albrecht - BBT: Okay, thank you. 
Sheila K. Taylor:
Operator: Your next question comes from the line of Chris Ceraso with Credit Suisse, your line is now open. 
Chris Ceraso – Credit Suisse: Thanks, good morning. I was hoping you could just help me understand something about this suit. I know you can’t say too much but it – wouldn’t a win by ABS threaten Yellow solvency and if that’s true doesn’t that leave ABS holding the bag on the Central States Pension?
William D. Zollars:
Chris Ceraso – Credit Suisse: Okay and then another pension related question, what’s your view on the change in Congress? Does that put at risk the likelihood of getting the Orphan Pension Relief? Is that still relevant for you? 
William D. Zollars:
Chris Ceraso – Credit Suisse: Any update on where that stands? 
William D. Zollars:
Chris Ceraso – Credit Suisse: Okay thank you. 
Operator: That’s all the time we have for questions now. Now let’s turn the conference back over to our presenters. 
William D. Zollars:
Operator: This now concludes today’s conference call you may now disconnect.